Operator: Good day, and welcome to the Sigma Labs Fourth Quarter and Full Year 2021 Financial Results Conference Call and Webcast. Today’s conference is being recorded. At this time, I would like to turn the conference over to Chris Tyson, Executive Vice President of MZ North America. Please go ahead, sir.
Chris Tyson: Thank you, and good afternoon. I’d like to thank you all for taking time to join us for Sigma Labs Fourth Quarter and Full Year 2021 Business Update and Results Conference Call. Your host today are Mark Ruport, Chief Executive Officer; Frank Orzechowski, Chief Financial Officer; and Jacob Brunsberg, the company’s President and Chief Operating Officer. A press release detailing these results crossed the wires this afternoon at 4:01 p.m. Eastern Day and is available on the company’s website, sigmalabsinc.com. Before we begin the formal presentation, I’d like to remind everyone that statements made on the call and webcast, including those regarding future financial results and industry prospects are forward-looking and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. Please refer to the company’s SEC filings for a list of associated risks, and we would also refer you to the company’s website for more supporting industry information. At this time, I would like to turn the call over to Sigma Labs Chief Executive Officer, Mark Ruport. Mark, the floor is yours.
Mark Ruport: Thank you, Chris, and good afternoon, everybody, and thank you for joining our call today. I’ll start the call with a brief recap of our progress in 2021 and how we have positioned the company for success in 2022 and beyond. Frank will then review our Q4 and 2021 financials, followed by Jacob, who will discuss our plans for 2022, including the progress that we’ve been making on the strategic initiatives we presented at January’s virtual road show. To start off, I’m very pleased to say that the company is in a much stronger position today than it was a year ago. First, we doubled revenue over the prior year, continuing to add key blue-chip customers aligned around using our technology to advance the industry towards production. We enter 2022 with a much improved balance sheet, significantly more working capital and with a runway sufficient for us to continue to execute on our plan. Our OEM agreements with Additive Industries and DMG MORI yielded some significant customers in key verticals, and the recent addition of Aconity3D should provide us with another independent revenue stream in 2022. We continue to add world-class customers to our installed base with organizations such as Los Alamos National Labs, Safran and the Department of Energy, to name a few. In addition, we added depth to our engineering team, most significantly by adding machine learning and artificial intelligence expertise as we focus on leading-edge approaches to not just identifying and classifying defects and anomalies but predicting them real time. And finally, we strengthened our management team with the addition of Jacob Brunsberg and his recent promotion to President and Chief Operating Officer. These accomplishments are squarely targeted at achieving our mission to set the quality and analytic standard for Additive Manufacturing. This initiative has two major thrusts geared at increasing our global footprint and maximizing the value of our IP. The first, which I’ve discussed with you previously, in which we are well on our way to achieving, is to provide a standards-based third-party agnostic solution, supporting multiple processes and multiple materials across industrial printers from the leading OEMs in the industry. As you know, we have solutions for the most popular industrial metal processes and printers. In Q4, we introduced the PrintRite3D for SLS polymer process, which we are actively refining with customers, partners and standards committees and moving towards mass production. Secondly, as we discussed in January, we are making a shift in our product delivery structure towards a subscription-based software-only solution that can be deployed on 3D printers at a much larger scale with significantly higher gross margins. Instead of selling individual hardware software systems into the retrofit market, one at a time, which is time consuming, and costly, we are working towards leveraging the printers computing infrastructure and embedding our software in thousands of printers from multiple manufacturers. That’s what I envisioned when I joined Sigma two years ago. Now it seems that the industry has moved in our direction, increasing collaboration, moving from proprietary to open systems and committing to standards that allow for the interchange of data and open APIs geared towards optimizing the entire Additive Manufacturing process. That all points to a very bright future for the entire additive industry, and we intend to play a central role in accelerating the industry’s move to serial production. I’ll now ask Frank to review the financials for the quarter and for 2021. Frank?
Frank Orzechowski: Thank you, Mark. Our detailed financial results are contained in our Form 10-K filed with the SEC today, and the press release we issued contains key highlights of our financial results. So today, I will provide a brief overview of our financial results for the fourth quarter and full year of 2021. Revenue for fiscal 2021 totaled $1.7 million as compared to $807,000 for fiscal 2020, primarily as a result of increased sales of our PrintRite3D systems. Our revenue for the fourth quarter of 2021 totaled $350,000 as compared to $200,000 in the fourth quarter of 2020. Gross profit for the full year of 2021 was $1.1 million as compared to 2020’s gross profit of $216,000. Gross profit in the fourth quarter of 2021 was $200,000 as compared to negative $22,000 for the fourth quarter of 2020. Our gross margin for fiscal 2021 was 66% as compared to 27% for fiscal 2020. This improvement of 39% was a result of lower manufacturing costs due to a combination of lower cost of certain components, engineering redesigns and efficiencies achieved in our manufacturing process. Total operating expenses for 2021 were $9.6 million, of which $2.6 million were incurred in the fourth quarter. This compares to total operating expenses for 2020 of $5.9 million, of which $1.5 million was incurred in the fourth quarter. Of the total increase of $3.7 million in 2021, $2.7 million or 72% was related to increased salary and benefits, stock-based compensation and recruiting and other expenses related to our employees. During 2021, we made a significant investment in bringing quality people into the company to contribute to our mission. However, it’s not enough just to attract and hire new employees. We must also be able to retain our new and existing employees. The labor market is and remains extremely competitive, and our highly trained, skilled and talented employees are heavily sought after. To that end, we have made additional important investments designed to advance our employee-first culture and ensure that Sigma remains a desirable place to work. More specifically, we have upgraded our health and insurance plans, increased equity-based compensation for all employees and implemented a flexible time-off policy to help ensure our employees have a good work-life balance. Other increases in our expenses in 2021 were increased operations and research and development expenses of $540,000 and an increase in travel expenses of $149,000 as COVID restrictions eased in 2021. Net loss before preferred dividends for the full year 2021 totaled $7.4 million, compared to a net loss of $5.2 million in 2020. The increase in net loss was due primarily to our higher operating expenses, partially offset by our increased sales. Net loss in the fourth quarter of 2021 totaled $2.4 million, compared to a net loss of $1.6 million in the fourth quarter of 2020. After accounting for preferred dividends of $104,000 in 2021 and $1.8 million in 2020, the net loss applicable to common shareholders in 2021 was $7.5 million or $0.76 per share, and the net loss applicable to common shareholders in 2020 was $7.0 million, a loss of $1.83 per share. Cash used in operating activities for the full year ended December 31, 2021, totaled $6.3 million, compared to $4.8 million for the full year ended December 31, 2020. Cash used in operating activities totaled $1.5 million for the fourth quarter of 2021 as compared to $1.1 million in the fourth quarter of 2020. Cash provided by financing activities for fiscal 2021 was $14.4 million, consisting of $13.3 million in net proceeds from our common stock offerings and $1.1 million in net proceeds from the exercise of warrants. As a result of our 2021 financings, our balance sheet remains strong. Cash totaled $11.5 million at December 31, 2021, as compared to $3.7 million at December 31, 2020. Our working capital at December 31, 2021, was $11.7 million compared to $4.3 million at December 31, 2020. And our stockholders’ equity was $12.9 million at December 31, 2021, as compared to $5.2 million at December 31, 2020. And with that, I will now turn the call over to Jacob, who will discuss our milestones for 2022. Jacob?
Jacob Brunsberg: Thank you, Frank. I came to Sigma Labs right before fourth quarter last year because I had a belief that Sigma Labs is uniquely positioned to be a catalyst in accelerating the adoption of 3D printing. Reducing costs and increasing quality is where Sigma Labs live, and this is starting to really accelerate in sync with the industry needs today. On a macro trend basis, we’re seeing some important things happening in the market. 3D printer manufacturers are opening up to third-party integration, including open APIs to their data streams and MES connectivity to enable full factory connection across machines. Additionally, hardware subsystem providers, who are also supplying to these OEMs, are incorporating key monitoring connections and hardware components into their solution. These items limit the need for retrofit hardware additions. This reduced the cost of the OEMs, but most importantly, provides key third-party agnostic connections for people like ourselves. All of these things help to enable our move towards a software-only solution. Why does the software-only solution matter? Mark highlighted some things above, but at the heart, it enables an economical and scalable solution, which also carries a higher margin. Additionally, it highlights our true differentiation, our ability to help customers monitor and analyze their in-process data to save them time and cost. We’re providing these insights across a spectrum of connected and process data streams, the machine, the process and the part health data. Additionally, we’re moving to do this across varying machine types and material types as well. So we have three main focus areas as we look to 2022 to really accelerate this trend. The first is be a leading member of helping set industry standards for in-process monitoring and analytics as it relates to true production. The second is to leverage our IP to support OEMs from new to established, while creating strong third-party agnostic options for customers in the marketplace. And the third connect to the broader additive ecosystem in areas that add meaningful value to the industry and our customers. We’re starting to deliver on these objectives, and we made some very positive movement in Q4 and continue to accelerate in the new year. Highlights include becoming a key founding member to an ASTM Consortium in conjunction with ASTM COE and key industry companies. In this capacity, we will work to be the in-process monitoring link, in-data pedigree for material and process development standards. This is a big move in addressing progress towards our first key initiative. On the enabling OEM front, we added another PrintRite3D member, as Mark noted, in the Aconity3D. We’ve got continued work in this space, and I really look forward to keeping everyone updated on the expansion into this OEM network as we progress through the year. And last but not least, we made some really big moves in connecting the additive ecosystem. First, we demonstrated a world-leading combined solution, which materializes control platform that utilizes our real-time data to provide true closed-loop manufacturing, a huge step in improving quality and autonomous manufacturing future. And most recently, we announced our first MES integration with AMFG. This is the start of providing world-class data pedigree and workflow for the industry via our open architecture approach. So what should you expect for Sigma the rest of this year? And how should you gauge our progress? We’re going to continue to build our partner ecosystem to drive the optimization of additive manufacturing. This expands our footprint, includes our technology in multiple end-to-end solutions and helps position us as the de facto standard. We’re going to grow our footprint in the OEM space with additional agreements where we monetize our IP by working with OEMs and to deliver a software-only solution as they embrace open systems and design of their next-generation partners. We will continue to participate and help establish standards in the marketplace. And finally, expect to see our subscription-based pricing have a very positive impact on our growing customer base. In closing, I highlight these steps because they are critical to scale. The market has an approximate installed base or a total addressable market of about 12,000 metal AM systems today. With a growth rate of approximately 20% year-over-year, that’s greater than 2,000 new systems entering the market every year. By the end of 2025, we feel it’s achievable to address more than 10% of the marketplace quality needs at software-only subscription. This would conservatively yield a year-over-year revenue stream of approximately $65 million. For those less bullish, a minor 3% penetration rate would still yield a conservative revenue stream of greater than US$20 million. All that said, this is before we even address any of the other modalities such as polymer or other metal markets, both of which we have solutions today and others underway. For reference, for those on the call, polymer market size is about 10x that of metal. We’re setting this business up with a solution and a structure that scales. I look forward to updating you on the progress of our key initiatives that will position us to succeed in tackling the goals throughout 2022. It starts and succeeds by making our customers successful. That success is seen from moving them from individual installed to a multi-machine monitoring software suite. I’ll hand the phone back to Mark to close up. Mark?
Mark Ruport: Great. Thanks, Jacob. I would like to emphasize and make sure that people understand the opportunity that we have in front of us today is fundamentally different than we’ve ever had in the past. During our initial entry into the market, we had no choice but to build an expensive integrated hardware and software edge computing system that had to be configured to operate with different printers from different manufacturers, each with their own proprietary systems and in most cases, without any of their assistance. Due to the maturity of the industry today and what we see happening tomorrow, we now can monetize our technology by utilizing open APIs, industry standards and utilizing the printers internal computing infrastructure. That frees our engineers up and allows them to focus on building the world’s best in-process monitoring and analytics software. I can’t emphasize enough what a difference this makes in our ability to lead and innovate. The recent demonstration of closed loop would materialize gave you a glimpse of the possibilities when we can leverage the existing hardware and collaborate with a trusted partner. Sigma is a clear choice going forward to set the standard within the industry. So with that, I’ll be glad to open it up for questions. And operator, please do so.
Operator: Thank you. And at this time, we’ll conduct our question-and-answer session. [Operator Instructions] Our first question comes from Scott Buck with H.C. Wainwright. Please state your question.
Scott Buck: Hi, good afternoon, guys.
Mark Ruport: Hello, Scott.
Scott Buck: Jacob, I thought that was really helpful color at the end of your commentary regarding market size. I was wondering if you guys could give us maybe a little bit of color around when that inflection point takes place and you start to see consistent quarter-over-quarter revenue growth?
Mark Ruport: Yes, I’ll take that, and then I’ll ask Jacob to give his view from the OEM’s perspective, since that’s his background. Every time we make a relationship with an OEM, it gives us the opportunity to move towards the software-only solution. We’re working right now with several OEMs on their next-generation printers that will be coming out later this year and next year. And we expect the subscription pricing to begin to have an effect on our business in the second half of this year and the software-only positioning that we’ve talked about, where we’re integrated and embedded with hundreds of printers to begin to affect us late this year or sometime in 2023. And Jacob, do you want to add anything to that?
Jacob Brunsberg: Yes. I think that was great color, Mark. I think you kind of entered the phase of embedding yourself as a software solution as they go through validation of their hard work. So we’re lucky enough to have some good partners where that’s already the case, and we are actively adding more right now. So I think Mark hit the time line pretty well. I think the market as a whole, if you combine retrofit and OEM, our subscription pricing and some of the software-only approaches we have. They’ve been received really well in the fourth quarter and early first quarter. I think you’re going to start to see some of these first deals coming together in the near future, really with the back half of this year starting to pick up steam. And then as you start having printers go out the door in the next year, that’s really where you start to hit inflection points of OEMs. So as you look for OEM announcements from us, we’ve probably been working with them for a while then at that point, but there’ll be a little lag, and then we’ll start picking up steam in situ software and kind of their next-gen systems.
Scott Buck: Great. That’s really good color. And on the OEMs, I’m curious if you’ve heard from your OEM partners that any of them are having trouble sourcing components for manufacturing due to supply chain issues that may cause delays in shipping new printers?
Jacob Brunsberg: Yes. I think – and Mark, if you want to comment, feel free as well. Generally speaking, I think everyone’s battling this right now. I do think from a production standpoint, you tend to be ahead a little bit. So I think, yes, there’s going to be impacts of that, but I don’t think there are macro industry impacts at this point yet depending on what happens later in the year. But certainly, some struggles or may be changes of some pieces of the puzzle. But I do think from a growth rate perspective, we kind of see demand still pretty strong there.
Mark Ruport: Yes, I would agree – go ahead, Scott.
Scott Buck: That’s good news. I’m curious, I know it’s only been a couple of months now since you announced the change in the pricing model. I’m curious what the early feedback has been from potential customers and even investors?
Mark Ruport: Jake, do you want to take that since you’re closer to the field organization?
Jacob Brunsberg: Yes. I think this has resonated really strongly with the customer base. I’ll start there first. So a lot of the conversations around in-process monitoring have shifted to scale discussions earlier in our interaction with customers. And they want to understand how this rolls out and what the return on investment looks like for them, year two when they go from their first couple of machines to 10-plus installations. And the subscription model has really allowed for that conversation to progress faster and to give people comfort that what they’re developing on with us has a return that can be scaled with them. And that there’s a path to do that at a facility level and there’s even more credibility to that when you can bring in some of our OEM partners and show the plans for potential integrated solutions down the road. So that’s been really exciting to see, and we’ve been kind of working on that structure to have that impact here on some of the first sales here in the near term. And again, like I said, I think the sales cycle is 6 to 12 months from the start of a conversation. So in the back half of this year, we expect to start seeing some really good impact on momentum from the subscription model approach.
Scott Buck: Great. I appreciate all that. And then I saw the announcement with Auburn in January of this year. I’m curious, what is the retrofit market like for university systems or education institutions? And is that a meaningful opportunity for you guys going forward?
Mark Ruport: Yes. We have obviously a great reputation within the university and the research organization sector. We have some of the major universities with the most prominent additive manufacturing programs for the advanced manufacturing and some of the leading research organizations. And there’s a clear appetite for our technology and also – and appetite to collaborate with us and us with them because a lot of the innovation is going to come from those centers in the future.
Scott Buck: Okay. That’s helpful. And then I’ll ask one more – go ahead.
Jacob Brunsberg: I was going to say, I think in addition, if you want to highlight the Auburn 1 particularly, they have a really strong brand foundation with FAA and NASA particularly. So as we talk about standards and who’s working on material and process development. There’s a few universities that are really key towards connectivity to some of those major initiatives. And we’re really excited about the work that we’re doing there with them for their grants.
Scott Buck: All right. That’s great. And then lastly for me, I’m just curious, anything in terms of CapEx for 2022 that we should be keeping an eye out for?
Mark Ruport: Frank, why don’t you answer that?
Frank Orzechowski: Yes. No, there’s nothing significant on the horizon for us for 2022.
Scott Buck: Okay. And in terms of it sounds like most of the hiring is complete and now it’s replacements when you have some attrition?
Jacob Brunsberg: Yes. We believe…
Mark Ruport: Go ahead.
Jacob Brunsberg: Go ahead, Mark. I was just going to say, we believe that the investment was made really in the – throughout 2021 and that it’s – we’re well positioned now with the resources that we have to execute on this plan.
Scott Buck: Okay, perfect. Well, I appreciate the time guys. Thanks, again.
Mark Ruport: Thanks, Scott.
Operator: Thank you. Your next question comes from Scott Billadeau with Walworth Partners [ph].
Unidentified Analyst: Hi, guys. I got a question just on your OEM relationships as maybe talk about how revenue does flow in? So when they make a sale of a machine with embedded software in it, was there an upfront kicker? Or is it just that the month your subscription starts to kick in? Maybe talk a little bit about how that will flow back to you on those OEM partnerships?
Mark Ruport: Sure. So a lot depends on the OEM’s pricing model themselves. So we’re going to first fit within their pricing model. If their pricing model is a subscription-based model, and we embed our software, it can either be an embedded non-optional arrangement or an embedded optional. And the difference between the two is the embedded non-optional is shipped with every machine, and we get paid on every machine that’s shipped. The embedded optional is that it’s an option for the customer to upgrade to and they can turn them on at any time they want, and then we will begin our revenue stream at that time.
Unidentified Analyst: Okay. But yes, so it’s essentially the floor to you then is, hey, if it’s non-optional, assume the machine is shipped or when your OEM essentially can identify their revenue recognition than you do, too, is that essentially how it lines up?
Mark Ruport: Yes, that’s basically correct. When they ship the machine and they start charging, they start paying us a monthly subscription fee.
Unidentified Analyst: Yes. And in that case, the payments you is from the OEM, whereas maybe talk a little bit about that. What bridge of your payments will be from the OEM vis-à-vis the end customer?
Mark Ruport: Yes. This is a very important point relative to gross margins and profitability and a broadband distribution. So the OEMs do the contracting, the support, the distribution of the collection and they pay us directly regardless of their relationship with the end user. So that takes a lot of the overhead off of our plate and puts it on their plate. And so therefore, it’s a much more profitable relationship for us, and it allows us to increase our gross margin, increase our profit while at the same time, dramatically lowering our pricing.
Frank Orzechowski: I think to add color to that, Mark, in the future, as you play it out, the ratio that we’re going after is around 70% OEM-driven, 30% retrofit market direct to customer. It’s kind of the rough mix.
Unidentified Analyst: Got it. And yes, on the aftermarket, then you’re growing that? Or will you still have an OEM either get you in the door or will you lever them to, hey, let’s look at your other machines in here? What’s the strategy there?
Mark Ruport: Well, what we expect to happen if a customer buys a machine from an OEM that we have a relationship with, and they have a multi-printer site that they’ll see the superiority of our solution. And then since we’re agnostic and run on the other printers, they can either retrofit their printer with our technology or they can help encourage the OEM who they acquired the printer from to either do a PrintRite3D ready certification, certifying their printers work with our technology or push them towards becoming an OEM of ours directly.
Unidentified Analyst: Great. And just one last question, guys. Maybe certainly you’ve – you certainly blaze the trail here in terms of whacking through the weeds to get to a point. But now it seems like there’s an inflection point where, hey, we’re going to open APIs and so forth. Maybe get me comfortable that as you open up, doesn’t that make it way easier for competition to now get into the business as well because they don’t have to do all the stuff you’ve already done to get to this point?
Mark Ruport: Yes. That’s a really good point. And Jacob, why don’t you give some color on the advantage we have given our core competency and IP?
Jacob Brunsberg: Yes. I think this probably gets to the heart of why I ventured the Sigma Labs too. But Sigma Labs is 10 years ahead of the market, technical development that no one else has today, and specifically in one of the hardest problems within the in-process monitoring. So as you look to our product in the future, we’re actually going to be incorporating other open API data streams and expanding what we have the capability of solving in our software. But the heart of what we have has a bunch of IP that has patents issued to it and is very well established, along with a team that just has really deep domain expertise today. That even at an OEM, you don’t have the amount of people and the talent base that our group has in collective walls. So we’re in a pretty exciting spot to actually, I think, take a little bit more because of the open API because we really have some of the hardest things worked on and solved over the last 10 years.
Unidentified Analyst: Okay, great. Thanks, guys.
Operator: Our next question comes from Michael Shaw with Shaw Family Office [ph]. Please state your question.
Unidentified Analyst: Hi, good afternoon. To clarify some of your comments before, specifically when you said you had a runway. What’s your expectation in terms of needing to raise additional capital?
Mark Ruport: Yes, that’s always a question on people’s minds, so I appreciate you asking it. If you look at the year-end balance, we have sufficient runway to focus on achieving the plan. And so even if we did zero revenues, and you took our existing cash balance and our existing run rate, we get well into 2023 before we run out of money. Of course, if market conditions are favorable and it’s in the companies and the shareholders’ best interest to do a raise, we considered doing some, so somewhere along that time line. But the good thing is that we’re in no hurry to do it, and we have plenty of runway to execute the plan that we’ve discussed within the time frame that we’re very comfortable with.
Unidentified Analyst: Great. Thank you very much.
Mark Ruport: You’re welcome.
Operator: Next question comes from Lee Alper with Hammock Investors. Please state your question.
Lee Alper: Yes. Could you give a little more color on the pipeline in 2022, both the short and long-term? At one time, Mark talked about revenues. You can basically look from quarter-to-quarter, you can be expecting increases. Are you still looking at that? And how does this the partner relationships relate to the pipeline?
Mark Ruport: Sure. So first of all, I was young and naïve when I said that, when I made that statement of quarter-to-quarter, especially within the retrofit market. Selling the retrofit market is a difficult one-off sale, number one. Number two, the reason why we’re moving, obviously, to 70% OEM and then 50%-plus software only is to smooth that out. So from a pipeline perspective, the pipeline is strong and it’s growing. From a revenue perspective, as we’re making this transition to software-only and mostly OEM-driven revenue, there’s a lot of variables here that come into play. I’m comfortable saying what I’ve said in the past that we’ve been able to raise our revenue year-over-year over 100%. And regardless how the revenue recognition falls, if you look at number of customers, the total contract value that we’re able to close during the year that for the – I can see for the foreseeable future, doubling the revenue or more every year for the next three to five years.
Lee Alper: Okay, thanks. And one other question on competition. Other than the OEMs themselves, is there any other direct competition out there?
Mark Ruport: Sure. And many of you have heard me say this before. If you’re in a market all by yourself, you’re either really smart or really stupid. And we have competition entering this market from the low end which validates what we do as a company and the value of what we do. It also creates more opportunity for us because they create more interest in from a customer perspective and looking for a solution like ours. And so more interest, more people talking about the need for consistent quality assurance and analytics across a heterogeneous base of printers, the more times we get the call coming into us. So there is some competition. It’s mostly low-end competition. And as Jake pointed out earlier, our lead is sufficient enough relative to our technology that we welcome the competition.
Lee Alper: Okay. Thanks a lot.
Mark Ruport: You’re welcome.
Operator: [Operator Instructions] Our next question comes from Carlo Corzine with Dawson James Securities. Please state your question.
Carlo Corzine: Hi, thanks. When you’re talking about the OEMs kicking in the second half of next year and mostly in 2023, it didn’t differentiate – maybe I didn’t hear it from the metals to the polymers. When will polymer business start kicking in at or it be on the same ratio?
Mark Ruport: And Jake, do you want to take that?
Jacob Brunsberg: Yes. I think it will be slightly behind the metal side, but for good reasons. So I think you saw some of our first entries into this. The product is really being validated and put through production scale right now at our first aerospace customers, so we’re aligning around that. And I think we’ll be a lot more bullish in the back half of the year about that being a more standard scalable product offering for us. So it’s not much behind, but it will be slightly behind the metal space. But certainly, we are fielding quite a few interesting calls in that space today and excitement around that, especially in some of the safety critical and quality critical applications that are expanding in the polymer space today.
Carlo Corzine: Thanks.
Operator: Thank you. And that concludes our question-and-answer session today. I’ll now hand the floor back over to Mark Ruport for closing remarks.
Mark Ruport: Great. Well, thank you, operator, and thank you, everybody, on the phone for taking the time out of your busy schedules today to join us. I think you’re going to find that 2022 is going to be an exciting year for Sigma as well as for the entire additive industry at large. If you have any follow-on questions or would like to have a further discussion on anything we talk about today, please don’t hesitate to contact MZ Group or Steven Gersten, and would be glad to follow-up in and have that discussion with you. So again, thanks for your time and attention, and have a great weekend.
Operator: Thank you. This concludes today’s conference. All parties may disconnect. Have a great day. Thanks.